Operator: Thank you for standing by, and welcome to Motorsport Games, Inc.'s Third Quarter 2025 Earnings Call. [Operator Instructions] As a reminder, today's conference is being recorded. I would like to turn the conference over to Ben Rossiter-Turner from Motorsport Games. Please go ahead.
Ben Rossiter-Turner: Thank you, and welcome to Motorsport Games Third Quarter 2025 Earnings Conference Call and Webcast. On today's call is Motorsport Games' Chief Executive Officer, Stephen Hood; and Chief Financial Officer, Stanley Beckley. By now, everyone should have access to the company's third quarter 2025 earnings press release filed today after market close. This is available on the Investor Relations section of Motorsport Games' website at www.motorsportgames.com. During the course of this call, management may make forward-looking statements within the meaning of U.S. federal securities laws. These statements are based on management's current expectations and beliefs and involve risks and uncertainties that could cause actual results to differ materially from those described in these forward-looking statements. Except as required by law, the company undertakes no obligation to update any forward-looking statement made on this call or to update or alter its forward-looking statements, whether as a result of new information, future events or otherwise. Please refer to today's press release and company filings with the SEC, including its most recent quarterly report on Form 10-Q for the quarter ended September 30, 2025, for a detailed discussion of certain risks that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. In today's conference call, we will refer to certain non-GAAP financial measures such as adjusted EBITDA as we discuss the third quarter 2025 financial results. You will find a reconciliation of these non-GAAP measures to their most directly comparable GAAP measures as well as other related disclosures in the press release issued earlier today, which is also available on the Investor Relations section of Motorsport Games website at www.motorsportgames.com. And now I'd like to turn over the call to Stephen Hood, Chief Executive Officer of Motorsport Games. Stephen?
Stephen Hood: Thank you, everyone, for joining this conference call today. I'm delighted to say that the positive trends reported in Q2 have continued into this quarter's results. We've entered a profit generation phase. The restructuring enacted some time ago continues to pay off. Our key gaming product in Le Mans Ultimate is scaling, and this helps improve margins quite significantly. Our model is working. Our player base is growing. Cash and cash equivalents, once a challenging element of our business has improved considerably relative to our scale, and we're again generating profit from operations for the second consecutive quarter. We have continued to improve and expand our core gaming offering in Le Mans Ultimate and associated service platform, RaceControl. This has demonstrated a commitment to product improvement and resonates well with our audience. It's a testament to the unwavering energy of our prized employees, contractors and partners. This quarter delivered more success for our current focus product, Le Mans Ultimate, fresh from a record-breaking month in June, the title exited the Steam Early Access program into a full release on July 22. This delivered another record high concurrent and daily active user counts. What is particularly pleasing about these numbers is that they were achieved outside of the noise and fanfare of the real-world 24 hours of Le Mans. Players were strongly and actively engaged in what our game offered and we're not just reacting to the licensed event upon which our game is based. We believe this bodes well for our future product planning, which I will touch on shortly. Since then, our player engagement has remained higher as we delivered the first elements of our latest Le Mans Ultimate expansion pack, the licensed European Le Mans series, which runs alongside the real-world championship on which our core game is based. This new downloadable content or DLC entry is being delivered in installments with the iconic Silverstone Circuit and a new class of car with the Ligier JS P325 LMP3 alongside a season pass for a pack of 3 DLCs. This popular series is adding some much requested new circuits, a key focus for the team to deliver new optional content for the title. We have also been making great progress on a key user feature, driver swaps in team racing. For our most engaged users, these racing experiences where a team of players share the same car is the pinnacle of a collective racing simulation experience. Cheering on your team as you battle mentally and physically against rivals across multiple hours elicits a unique challenge and one that builds a very strong audience bond to the product. Being part of a team is an important component in today's gaming landscape, and our title is built around this social community-driven aspect to great effect. This feature is of particular importance as it forms the foundation for the return of our highly respected and viewed eSports series, Le Mans Virtual. In its last season, it was responsible for over 10 million viewers as verified by data analysts at UDelv. With an improved ecosystem underpinned by a dedicated game in Le Mans Ultimate, we are confident this series will prove to be a valuable marketing opportunity, not only for game and DLC sales, but also our subscription service, RaceControl which will power a more meritocratic approach to the series. We are in the final stages of planning and hope to announce qualifying in the coming weeks and months and are currently in active negotiations to finalize partners to support the series. The interest from players, real-world drivers and teams and potential partners was evident when our team visited the SimRacing Expo in Europe last month. We're excited to bring this great series back with a dedicated game, and we'll be presenting in person to the official manufacturers, drivers and sponsors at the real-world season finale of the 2025 World Endurance Championship in Bahrain this week. Our service platform, RaceControl, which drives our subscription offering has continued to grow with its highest performing quarter to date. We continue to drive new levels of engagement in this service with extensions to the custom delivery feature. This has resulted in an almost 100,000 deliveries being processed from our engaged subscribers. And now we are allowing players to share and download others designs in one click through the livery market that I spoke about in our last conference call. We have turned this feature, Livery Hub, and it is available at our portal website, RaceControl.gg. This has driven much higher engagement from our players on the site, and we believe it to be a great showcase of what we can turn this platform into. We are building an ecosystem where you can access our service from anywhere at any time to engage with our products. There's more to come on that, and we can't wait to share. I have often spoken about the opportunity to bring Le Mans Ultimate to console, and I am pleased to announce that work on this project is underway. Utilizing a highly respected outsourcing partner, we are able to maintain our existing pace on the current main revenue driver, Le Mans Ultimate on PC and our RaceControl subscription service without impacting the live service we're providing. In fact, many of our fans will be pleased to hear that some of the technologies required for this port to gaming consoles is going to be making its way back into the core PC product in the coming releases, even before the console product launches. Delivering our core gaming product, which is still growing on PC to a console audience on PlayStation and Xbox will be another milestone for our revitalized business and could potentially turn this title into a long-term franchise for the company. Whilst we are currently financing the early stages of the console project, we are in active conversations with several interested parties who may put up the entirety or some of the investment required to bring this exciting project to market. Beyond the financing investment, some of the proposals include useful marketing and publishing efforts that could increase the chances of success for our console product release. The core PC title performing so well has accelerated these conversations and opened new and exciting opportunities, which we are carefully considering. The exact date for a console version of Le Mans Ultimate remains subject to further development progress. But realistically, we expect this to be sometime around late 2026 or early 2027. We plan on selecting the best release window and not to deliver a product out of financial necessity. Our CFO, Stanley, will talk in detail about the financial numbers recorded in Q3, but I would briefly like to draw attention back to the journey we have been on as a business. Upon my return to the company in April 2023, the company had negative cash flows of around $2 million per month. Now in 2025, the hard work is shining through. For the last 2 quarters in a row as a company, we are proudly able to say that we are reporting an operational profit. Additionally, we now believe that the company has cash on hand to sustain itself for some time and even invest in meaningful projects that could lead to additional revenue opportunities. Cash on hand from June 2025 to October 31, 2025, has increased by $2.2 million. This is a testament to our team and our resilience. We are accelerating our growth plans, exploring new opportunities and sensibly increasing our team size to deliver more for Le Mans Ultimate, but also begin work in the very near future on additional titles from our first-in-class development team at Studio 397. A new title is not expected to be announced for some time, but we are incredibly confident in the technology and market for player-driven multiplayer rating simulations across multiple platforms based on the success of Le Mans Ultimate. To this end, we continue to look at how best to structure our teams and processes to take advantage of our current momentum and abilities by setting up our teams for success whilst remaining lean. We have learned a great deal over the last 24 months and routinely explore ways in which we can learn and improve, including through the deployment of AI, not as a crutch to replace human input and creativity, but as a tool to accelerate growth and productivity. Now I would like to invite Stanley Beckley, our Chief Financial Officer, to talk about the financial results for the third quarter of 2025.
Stanley Beckley: Thank you, Stephen, and good evening, everyone. As with previous earnings calls, I won't be offering any forward-looking guidance today. Instead, I will focus on providing an update on our financial results and highlights from the third quarter of 2025. I will be providing some information shortly on 2 significant milestones that the company achieved during the third quarter of 2025. Revenues for the quarter were $3.1 million, up by $1.3 million or 71.9% when compared to the same period in the prior year. The increase in revenues was primarily due to a $1.8 million increase in 2025 from sales of our Le Mans Ultimate racing title, particularly DLC sales, a $0.4 million increase from RaceControl and a $0.1 million increase in our rFactor 2 title compared to 2024 offset by a $1 million decrease in NASCAR-related revenues, a gaming title we are no longer authorized to sell starting in 2025. With the release of our Le Mans Ultimate title in February 2024, the company has more than made up for the loss of revenues from our NASCAR title, the license to which we sold in October 2023. NASCAR-related revenues were approximately $1 million and $3.5 million during the 3 and 9 months ended September 30, 2024, respectively. In comparison, revenues from our Le Mans Ultimate title were approximately $2.3 million and $5.7 million during the 3 and 9 months ended September 30, 2025, respectively, significantly more than NASCAR-related revenues during the same prior year period. Net income for the third quarter of 2025 was $0.8 million compared to net loss of $0.6 million for the same period in the prior year, an improvement of approximately $1.4 million or 234.1%. The increase in net income is driven by an increase in consolidated revenues of $1.3 million, decreases of $1.3 million and $0.1 million in operating expenses and cost of revenues, respectively, offset by a decrease of $1.4 million in other operating income. Net income attributable to Class A common stock was $0.14 per share for the third quarter of 2025 compared to net loss per share of $0.18 for the same period in the prior year. The company has achieved another significant milestone in its history. After adjusting for other nonrecurring losses of approximately $25,000, Q3 2025 was the second consecutive quarter that income from operations was generated by the company. Q3 2025 and Q2 2025 now stand as for only 2 quarters in the company's history that income from operations has been generated. We are reporting adjusted EBITDA of $1.1 million for the third quarter of 2025 compared to $0.1 million for the same period in the prior year. The improvement in adjusted EBITDA of $1 million was primarily due to the same factors driving the previously discussed change in net income for the third quarter of 2025 when compared to the same period in the prior year, as well as the decrease in stock-based compensation compared to the prior year period. As it relates to liquidity, as of September 30, 2025, we had cash and cash equivalents of $4.1 million, which increased to $4.5 million as of October 31, 2025. For the 9 months ended September 30, 2025, we generated an average positive cash flow from operations of approximately $0.3 million per month that was primarily due to increased profitability, $0.8 million from the Wesco Insurance Company settlement in June 2025 and $0.5 million from the settlement agreement with HC2 Holdings 2 Inc. in March 2025. The other significant milestone we achieved in Q3 2025 relates to the growing concern disclosures included in prior financial statement reports being removed in our Q3 2025 report on Form 10-Q. Thank you all for your time. And now I will turn the call back to Stephen for closing remarks.
Stephen Hood: Thank you, everyone, for joining this call today. We're delighted with the ongoing progress outlined today. For a second consecutive quarter, we've turned to profit from operations and have built a healthy cash reserve off the back of continuing success of our core product, Le Mans Ultimate and the online platform, which supports our ecosystem approach, RaceControl. This puts users first and they are repaying us with enormous support. Base game sales continue at pace, additional content or DLC sales for our game remain very strong and more people are joining our value-adding RaceControl subscription service every month. We're now in active development of a console version of our Le Mans game and believe we are not too far from another major step forward for the company as we become a multi-format developer and publisher. We believe in our future, and I hope you follow our journey. Thank you again for joining this call today. I'll now pass it back to the operator.
Operator: [Operator Instructions] And it does appear that there are no questions at this time. This does conclude today's program. Thank you for your participation. You may disconnect at any time, and have a wonderful rest of your day.